Operator: Ladies and gentlemen, thank you for standing by and welcome to the CONSOL Energy's First Quarter 2012 Earnings Conference Call. As a reminder, today's call is being recorded. I would now like to turn the conference call over to the Vice President of Investor Relations, Mr. Dan Zajdel. Please go ahead, sir.
Dan Zajdel: Thank you, John. I'd like to welcome everyone to CONSOL Energy's first quarter conference call. We have in the room today Brett Harvey, our Chairman and CEO; Nicholas Deluliis, our President; Bill Lyons, our Chief Financial Officer; Bob Pusateri, our Executive Vice President of Sales, Marketing and Transportation; as well as David Khani, our Vice President of Finance. Today, we will be discussing our first quarter results. Obviously, any forward-looking statements we make or comments about future expectations are subject to the business risks we have laid out for you in our press release today, as well as in our previous SEC filings. We will also have slides that I should make you aware of. We will be referring to our slides, which you can find on our website. We will be referring to those off and on today. And with that, let me start the call with Brett Harvey. Brett?
J. Brett Harvey: Thank you, Dan. It's good to be with you all again and talk about CONSOL Energy's quarter, as well as how we see the energy market futures going forward. CONSOL Energy has a portfolio of assets that no standalone coal company or gas company can match. Having this portfolio enables us to allocate labor and capital to develop these most valuable assets in a timely manner for our shareholders. So in both coal and gas, we continue to invest in the most profitable markets: in thermal coal, in met coal, in high-vol met coal, that means selling into a very expanding global market. All 3 of CONSOL's coal expansion projects are geared, at least in part, to serve these global markets. The Amonate project that is now in operation is a mid-vol project and different than low-vol projects in a different marketplace. The Baltimore Terminal expansion is valuable in terms of expanding our coal into the world markets. Our BMX project is also a very low-cost, high-volume mine that will expand into the world markets. In Gas, we've already moved twice away from the dry shale gas areas and towards liquid-rich areas and the oil windows that we see. We know that energy markets are soft now due to the very warm record winter, the continued weak economy, and the demand for power continues to lag. In some case, we're clear back -- from some customers, clear back to the demand of 2007. We have a decade low natural gas prices, but what we do know is all this will change. Everybody knows this. We've all begun to trim our capital budgets in response to where the markets are today. We also idled 2 longwalls in response to pricing issues. Energy markets have always been very volatile. My challenge as a CEO is to manage the downturn in such a way that we don't miss the upside when it begins, especially how powerful assets like CONSOL has. Already, we're starting to see signs that the low-vol coal market has bottomed. This is consistent with what we said during the January earnings call. And while I'm not ready to call a bottom in the thermal coal or gas markets, production cuts and reduced drilling, mostly by our peers, will eventually bring the market back in balance. I will talk later about natural gas. In the meantime, CONSOL Energy should fare better than most of our peers due to our having nearly sold-out position in thermal coals for 2012. Even though they've been pushed back, that values is still in place. Having 1/2 of our 2012 gas production hedged at $5.25 and having the strongest balance sheet of any of our coal or gas peers, CONSOL will emerge from this downturn stronger than its peers as long as we can continue to operate safely and efficiently to keep our license. Marketing astutely across the globe is very important to us and we need to prudently invest and be ready for the upcycle. Now let's look into the details of the last quarter, and I'll turn it over to Bill right now.
William J. Lyons: Thank you, Brett. And good morning to everyone. As you've seen in our press release and Slide #6, CONSOL Energy posted solid operational and financial results in the quarter, beset by record unseasonable weather, a continued weak economy and a decade low level of natural gas prices. One of the lessons learned from the quarter is the inescapability of risk. The 3 areas of risk that I just mentioned, the weather, the economy and natural gas prices, are areas of risk CONSOL Energy can neither influence nor control. Risk cannot be avoided, but it can be mitigated. And the main way that CONSOL Energy mitigates these risks is through the strength of our balance sheet. We have the scale and the financial means to absorb the inevitable cyclical downturns that occur in the energy industry. We entered the quarter having liquidity of $2.7 billion, including cash of nearly $400 million. We entered the quarter having nearly all of our thermal coal sold and having nearly 1/2 of our gas production hedged as $5.25 per Mcf. It is having this financial strength that has enabled us to idle the longwall Buchanan because we are not satisfied with the prices we are offered for this premium low-vol coal, and also idle the longwall of Blacksville because of customer pushbacks due to lack of electrical generation. In both of these instances, we did not shut down the coal mine, but we invested time and money in major maintenance and development projects. These projects will enable the mines to run more efficiently and effectively when we bring both the longwalls back online on May 1. If CONSOL were in a weakened financial state, we might have had to continue to run the longwalls at a high-opportunity cost solely to generate cash. Our financial strength is a key differentiating factor for CONSOL Energy. Let me discuss our quarter's financial results. Net income was $97 million or $0.42 per diluted share for the first quarter of 2012, compared to $192 million or $0.84 per diluted share for the first quarter of 2011. Total sales revenue for the first quarter of 2012 was $1.4 billion or just under last year's first quarter. We generated operating cash flow of $229 million and EBITDA of $324 million. Again, both were below last year's levels due to factors that I've already cited. In CapEx, we invested $306 million in our businesses. The shortfall between operating cash flow and CapEx was the main reason for our $88 million decrease in cash for the quarter. Our budget in capital spending for 2012 remains under review due to current business risks, particularly natural gas prices. Our goal to remain neutral, cash neutral for 2012, may prove to be more challenging than it looked at the beginning of the year. We're paying close attention to unit costs. And coal, while unit costs were higher than the year-earlier quarter, I think it's important to note that they were actually down $0.37 per ton from the December 2011 quarter after excluding the effects of the longwall idlings in March. During the remainder of 2012, we will place special focus on cost control. You saw from our release that we've taken a number of steps to keep our full year 2012 administrative and sports service expenses flat with that of 2011 levels. And our supply chain management group has met with all our major vendors to jointly identify cost-saving opportunities. In Gas, unit cost declined from the year-earlier quarter. On the coal side for the first quarter of 2012, we produced 15.7 million tons, which was the midpoint of our guidance range. We feel this is a remarkable achievement since we idled 2 longwalls for a combined 7 weeks during the quarter. Idling of Buchanan longwall forced increased low-vol unit cost during the quarter, and idling the Blacksville longwall, similarly, increased thermal cost during the quarter. In the high-vol segment, costs were -- were higher because of the mix of mines issue, which we detailed in our release. Now let me turn to our E&P operations. The Gas division produced 37.7 Bcf and reported net income of $7.5 million for the first quarter. This was about 1/2 of what we earned in the year-earlier quarter. Lower unit cost and the higher production volumes could not overcome the effect of sharply lower prices. So far in 2012, we have twice reduced our capital budget in our Gas division, but still are focusing on liquids-rich areas of the Utica and Marcellus Shales. In the dry gas area of Marcellus Shale, we are drilling mostly on a 100% net revenue interest acreage, which continues to have positive returns, even in this lower gas price environment. In summary, we believe that CONSOL Energy continues to be one of the premier names in the energy space, as we continue to combine faith, low-cost, efficient operations with worldwide marketing to generate solid shareholder returns and we continue to watch over our financial resources, while investing for the long term in both coal and gas where we have tremendous assets. With that, let me turn it over to Nick.
Nicholas J. DeIuliis: Before we review the quarter operationally, we wanted to highlight a safety milestone for everyone. And since 2006, this company has now invested over $1 billion cumulatively on safety compliance efforts. So we've clearly put our money where our mouth is on our top value to safety and compliance. We've come a very long way, we still have a ways to go towards actually 0. But our safety events -- investment has provided you, the shareholder, with increased reliability, and that's going to translate directly into better margins because our customers also pay, of course, to have CONSOL as a more reliable supplier. Our mines and gas operations ran well during the quarter. We issued a very detailed operations release a couple of weeks ago. It has laid out the milestones and achievements, but just to touch on a few of the highlights. In coal, we produced at the midpoint of our production guidance range, and that was despite not having 2 longwalls available for a combined 7 weeks during the quarter. It's even the more impressive when you consider that we didn't run our longwalls on most Saturdays to accomplish that. So we were able to spend those Saturdays working on continuous improvement, doing things like adding lead base as well as strengthening seals. All of these paths, of course, are going to help us to safely and efficiently produce coal after May 1, when our 2 longwalls restart. On the Gas side, only the idling of Buchanan longwall kept us from beating the high end of the production guidance range, which was, of course, due to the deferred gas production associated with the mining process. We achieved our first production from our Amonate Mining Complex and we TD-ed our first Utica Shale well in Ohio. Now with that stuff behind us, let's review where we are currently. And we'll start with the restart of the Blacksville and Buchanan longwalls because those are obviously important. But the restart decisions were based on marketing considerations, first and foremost, so Bob Pusateri will address that in a couple of minutes. From an operational perspective, we're hopeful that we'll have results on the Utica Shale well in Tuscarawas County, Ohio in the next month or so. We know there's a lot of investor interest, but we're not just ready to discuss results today. In the Marcellus, our JV partner, Noble, is completing the first 5-well pad in Marshall County, West Virginia, and we should or could have results to discuss in June. This, of course, would be our first foray into the liquids-rich area of the play, where we've got 39 wells planned between ourselves and our joint venture partner for 2012. In the dry gas windows of Marcellus, we've received many questions about the economics of drilling and the low gas price environment. With that said, we're mindful of potentially getting whipsawed by laying down rigs and then seeing the gas prices rebound. Our 2012 program in the dry gas area has attributes that you may not be aware of. I just wanted to run through a few of those. First, we're increasing our lateral links when you compare 2012 to prior years. In fact, our Gaut pad in Central Pennsylvania, we just drilled 4 laterals that are each over 8,000-foot long. Across our entire 2012 program, we expect laterals to average around 5,000 foot perch to perch, so those laterals are growing. Second thing, we're also emphasizing pad drilling more. We can do this because most our acreage is either owned or held by production. Across our 2012 program, we should average about 4 wells per pad. Third, we're getting our completed wells into the sales meter in a timely fashion, so that by the end of this quarter we expect to have all or nearly all of our 2011 wells completed and online. This goes back to not having to drill the whole acreage and we'd encourage you to compare this to peers to assess how many 2011 wells remain to be turned online out there. Fourth item, we're also drilling more 100% NRI wells, as Bill mentioned, especially in Greene County. And fifth and finally, don't forget that our finding cost to the drill bit last year came in at under $0.50 per Mcf, which is among the industry's lowest. So when you add all these attributes up it enables us to enhance our well economics for the dry gas window of the Marcellus. That, of course, is especially important during times of low gas prices. As Brett said, though, during the remainder of 2012, across all of our home gas projects, we're going to continue to evaluate our level of capital spending in response to changing macro conditions. With that, I'm going to turn it over now to Bob Pusateri for an update on our marketing efforts.
Robert F. Pusateri: Thanks, Nick. Despite several challenging factors during the first quarter, CONSOL finished with a strong sales performance from all of its product segments. The domestic thermal market was severely impacted by mild winter weather, low natural gas prices and an economy that could not get lasting traction. Our order book was full for the quarter when the year began, but as the generator started to push back tons, a number of contracts were reopened to preserve the contracted value. To date, the value has been preserved in the form of buybacks, shipment schedules weighted towards the second half of the year and delayed shipments into years 2013 and 2014. As the year proceeds, we expect more normalized shipments from our domestic customers based on normal summer burn. Our Blacksville Mine is returning to work on the strength of thermal sales to China and India. CONSOL continues to leverage its export capabilities through our Baltimore Terminal. Shipments through the rest of the quarter should be at record levels. We are expecting to expand our thermal sales volume in the second quarter to equal 1.7 million tons. Thermal sales for the quarter will go to Asia and Europe, Central and South America. We are expecting an increase in export thermal coal pricing for the second half of 2012 due to monetary policy easing and the need to restock inventories. Chinese and Indian buyers have aggressively reentered the market beginning in mid-March. Since that time, buyers in both countries have purchased significant quantities of steam coal for the balance of 2012. In order for CONSOL to meet the challenge of ensuring a competitive supply chain to customers in Asia, CONSOL, in concert with its partner, Xcoal, will continue to top off vessels off the coast of Nova Scotia. This permits our customers to realize the benefit of lower ocean freight, while reducing the delivering -- delivered cost of coal. Our low-vol net shipments will resume now that Buchanan mine is returning to normal production. We are forecasting between 700,000 and 900,000 tons of shipments for the second quarter. Since we are currently in negotiations with several customers at this time, we are unable to comment on our unsold tons. We are seeing signs of decreasing demand for our premium low-vol coal for the second half of the year. Spot prices for May alone are up $8 to $10 a metric ton, above the April, June quarterly benchmark price. Our unsold position for the second half of the year currently stands between 1.2 million and 1.6 million tons. We continue to have strong demand for our high-vol Bailey coal in all parts of the globe. China's steel production remains solid. We believe we will be successful in selling 2 cape-size vessels of our high-vol Bailey coal per month to Asia for the balance of the year. In total, high-vol met sales for the quarter will be between 1.2 million and 1.3 million tons. Now turning to the gas side of the business. CONSOL has placed financial hedges on its gas production. For 2012, 77 Bcf is hedged at an Mcf equivalent price of $5.25. For 2013, 51 Bcf is hedged at a price of $5.06. For 2014, we have hedged 44 Bcf hedged to $5.20 in Mcf. Now let me turn it back to you, Brett.
J. Brett Harvey: Before I sum up, I want to touch on the current natural gas prices and provide some perspective from where we're at. We did not expand our Marcellus position for a short-term price jump, but more for the long-term value extraction of owning the large gas field directly on the same footprint as our coal position. While we do not like the current price, note that the gas will find a solid footing based on fundamentals because of our low-cost structure. Looking long term, we expect natural gas prices to rise to a more normal level and then expect to see a rise in demand for gas on the domestic front. Let's talk about power generation on demand. Power generation over the next several years, we expect that to expand dramatically. In fact, every CEO that I talked to on the utility or generation side, expect the next round of generation to be natural gas. That's a real positive for CONSOL, and I believe we'll see that. The chemical industry itself, there's been a lot of investment with shale gas. It could top $16 billion. And that puts the U.S. a lot more competitive on the gas side, as the Middle Eastern and Asian people use oil as feedstock versus natural gas, that gives the U.S. the advantage. We think that will grow very rapidly. Also on the fertilizer front, we lost a significant amount of domestic fertilizer based on natural gas prices and feedstock in the past. The USDA forecasts 2012 and '13 corn planting to rise to nearly 96 million acres, which should be the largest in history that we know that needs fertilizer, and that low cost high-value gas is going to be part of that growth industry. You talked about ethylene. We're looking at a renaissance there. We've seen Dow and Shell announce crackers. We know other people that are looking into the same issues where the gas is. So we see that as a real growth issue and we see coal as a growth issue worldwide. We also see gas being used as a primary form of transportation on fleet vehicles and so forth going forward. Now this all takes time, but with a great asset like we have, held by production, time is on our side. I feel good about that. We had a solid quarter, despite the macro environment. We will continue to focus on reducing capital and cost to optimize our low-cost position. We have a strong balance sheet and we have a lot of liquidity. We have some key areas where we see real value coming on in the Utica as well as the wet Marcellus side and the Baltimore expansion to move coal, more coal offshore. As the U.S. chooses gas, we'll sell gas to the United States markets. As the world chooses coal and gas, we'll sell the world coal and gas. We have a strong position with our asset base. This is what we're about, this is what we're going to do. Now let's open it up for questions.
Operator: [Operator Instructions] And first on the line with Jim Rollyson with Raymond James.
James M. Rollyson - Raymond James & Associates, Inc., Research Division: Brett, with the new guidance on low-vol coal of 4.1 to 4.2, you guys did 1 million tons in the first quarter. And obviously Buchanan's going to be idle for a month in the second quarter. But you're essentially implying about 1 million tons a quarter, and I'm curious if that's somewhat conservative for the, say, the second half of the year, just given your comments and some others' recently about the improving outlook on the met side of things. Is that more conservatism and/or just kind of waiting on pricing to improve before you would ramp that back up to the 1.3 to 1.5 type of numbers we saw last year?
J. Brett Harvey: I think that's a good question. I see it this way. We see those kind of markets and we see an improving market, and we saw very tight liquidity in terms of volume in the first quarter. If this thing cycles at all, we'll show the discipline. So I guess I would say that we are being somewhat conservative, but we're trying to match what we think we can sell at valuable prices to our shareholders.
James M. Rollyson - Raymond James & Associates, Inc., Research Division: Helpful. And on the thermal side, do you have -- I think mentioned in the press release, 5 million tons of domestic thermal that got deferred into later this year and some into future years. Kind of 2 questions around that: one, how much got pushed out of this year and into future years; and do you get some economic value from your customers by delaying it that far into the future?
J. Brett Harvey: Well, one of the things is to capture the economics of the contracts that are in place. But I'll let Bob talk to you about the volume.
Robert F. Pusateri: Jim, of that 5 million tons that we talked about in the press release, roughly 2 million of that 5 million is going to be moved into calendar years '13 and '14. And the value that we get for that is an increased price over the 2012 number based on the change of the certain set of indexes for the most part. We have about another 500,000 tons of coal that's in that 5 million that we expect for the second half of the year that the generators will actually pick that up and we'll receive that value in 2012. We have ongoing negotiations with customers for about another 1.1 million tons of the 5 million. And then the remaining roughly 1.4 million, of that, a number of those tons, Jim, was force majeure-ed or we have requirements contracts. And as their requirements were decreased due to lack of weather and also low natural gas prices, we'll just lose those tons for this calendar year.
James M. Rollyson - Raymond James & Associates, Inc., Research Division: Sure. Well, you've done a great job of being able to replace those volumes into the international markets and actually bump up your thermal volumes on the export side. Just one question there is, you got thermal going into China, India and other places, and it doesn't look like your overall pricing in the contracted status has changed dramatically. Just kind of curious how the pricing net backs for some of this export thermal compares to, generally, and how you think that goes forward, compared to what you had been doing domestically?
Robert F. Pusateri: Jim, the price for thermal coal into China and India is basically sold on a monthly basis and it's truly a negotiated price. It's not the API#2 index adjusted or the API#4. It's a face-to-face negotiation. And we've been able to do that and keep our prices high because last year, when we started to see a downturn, we went into the vessel market and we locked up a strong volume of vessels at good prices and now we're being able to take advantage of those. And we have -- as you saw, we have 1.7 million tons forecasted to go into the export thermal market, and that's, essentially, is all new business for us. And we had to respond and respond quickly when we started to get as much pushback from our utility customers as we did in the first quarter.
Operator: Our next question is from Shneur Gershuni with UBS.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: My first question -- and maybe this is, I guess, directed at Bob, but I was wondering if we can sort of elaborate a little bit on the met contracting, kind of implied $185 price. Can you give us some flavor with respect to kind of when this was done, was it around the time of the distressed cargo before the recent uptick and sort of the height of the tension out there, or was this done a little bit later? And secondly, if you can also comment about whether you're at a high ash section in Buchanan that's sort of forcing some discounting as well, too?
Robert F. Pusateri: Sure. First off, I'll tell you in the quarter, in the first quarter, we had about 1 million tons of thermal sales at about $189, and we reflected that on our release in January. With the exception of about 40,000 tons of this, all of those tons will be shipped in 2012. The balance was moved out from quarter 1 into later parts of the year. Unfortunately, we were still uncovered, and so we sold about 116,000 tons of this coal at just basically lower prices. And it accounts for, Shneur, about a $20 change in sales price. We will receive all of the value that we displayed in January later in the year, except for 40,000 tons, in addition to the $20 per ton change in price that was also an accounting adjustment for a change in inventory, which is roughly about $10 a ton. So we had to adjust the inventory value down from, we were forecasting about $180-some when we adjusted that to about $142. So that makes up the difference between the $189 that you saw at the end of the first quarter and the $157 I think that we showed you in this release. A couple of things that I think I need to say is that the $206 metric ton which was set by Teck, the U.S. coals trade -- U.S. mobile coals trade to a discount of that benchmark price. As you well know, there's about 55 million tons of seaborne met coal that trades on a quarterly basis. And I would say only about less than 20% of that 65 million tons actually trades at the posted BMA price. For the U.S. coals, there's a difference in the coal properties, mainly in terms of CSR and wall pressure, and that accounts for what the discount is. So if you've got $206, our metric price is somewhere about the $185 number, adjusted for quality, and that's where we see the market, the spot market today for the second quarter. We brought Buchanan back on the fact that 5 weeks ago, we started to -- we actually started to see liquidity in the market. We saw an uptick in prices, an uptick in demand. And while we're not crazy about some of the prices in the second quarter, the good thing is, Shneur, they're only there for the second quarter. And we have 1.2 million to 1.6 million tons to price in the second half of the year, and we'll take advantage of that everywhere we can.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: Given the fact that you feel that there's enough demand out there to restart Buchanan, do you think that, that discount starts to tighten kind of as steelmakers start to scramble if their inventories are too low and utilization rates continue to move up?
Robert F. Pusateri: It very well could be. I mean, we're hoping that we see an increase in demand in the United States. As you know, the car manufacturing in United States is almost at record levels, so we're hoping to sell additional tons domestically. We're waiting for Brazil to get their act together with respect to their currency. Europe is a whole other story. We could talk for the next half hour alone on just where we see Europe. But again, the market is a little cloudy, but it's -- believe me, it's a heck of a lot better than it was 2 months ago.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: Great. And then one final question for, I guess, for either for Brett or Nick. I was wondering if you can talk about export capacity. Last year, you talked about a Phase 1 and then a Phase 2 expansion. You'd greenlighted Phase 1. I was wondering if you can talk about Phase 2, especially BMX should start producing some tons fairly soon, kind of where you see your export capacity sort of settling out once BMX comes online?
J. Brett Harvey: Right. You see we're expanding this year, we've talked about that. And we're going to get all the squeak out of what we're doing this year. And then we're looking at expansion beyond that at Baltimore. We're also looking at, with Xcoal, we've got some tons tied up across the bay with a CSX terminal. We're looking at how we optimize CONSOL Energy's position in all of this. And if you look at the total tons at export, we've got about a little over 20% of all the export tons tied up in our portfolio. We've never lost any tons in terms of what we can move out of CONSOL, and we're trying to match our capital spending with our ability to move into what we've already capitalized. So we'll be getting to you forward on the next move, but we're going to optimize what we've already done. And Bob has something to say about that as well.
Robert F. Pusateri: I want to tell you, between Baltimore and the Chesapeake Bay terminal, there's roughly 24 million tons of throughput capacity in both of those terminals. CONSOL and its partner, Xcoal, controls about 18 million to 19 million of that 24 million. So as Brett said, we are currently not restricted in our ability to be able to get volumes of coal offshore. As the utility market, longer-term, settles out with respect to some of the care and the Mac [ph] rules and these units get shuddered in, we know that our emerging market is China and India, and we are ready to serve -- make no doubt, we are ready to serve that market. We have the tools to do it. We have the cost structure to do it.
J. Brett Harvey: One other thought. We are actively planning to move this coal offshore as the markets expand. So don't think we're only restricted to what we've talked about. We've got plans to do other things, but we're not ready to talk about them yet.
Operator: Our next question is from Mitesh Thakkar with FBR Capital Markets.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: First question is for Bob. Bob, when we think about met coal pricing and the discount to the benchmark based on CSR and other properties which you just mentioned, can you -- or just kind of give us some color, how should we think about it going forward? Because to the best of my knowledge, we haven't heard this from Buchanan in the past.
Robert F. Pusateri: I think it's an easy answer, Mitesh. It's when supply outstrips demand. When the buyers have the luxury of being able to choose the higher-value coals. When those are available and they're available at reasonable prices, they're always going to choose the higher-quality coals. It's only when demand outstrips supply that they will look at buying whatever coals are available to them and buy them at comparable prices. We expect that the BMA price for the next calendar quarter, July through September, to be in the range of, say, 220 to 225. And with that, we still believe that there will be more supply than demand. I mean, it will almost be in balance, but it won't be. So the U.S. coals will still trade at a slight discount to that BMA price. Whether it's $15 or $20, we just don't know yet. It depends on the timing. The timing of the purchase, the timing of the delivery. But all in all, CONSOL's Buchanan Mine, with its cost structure, still returns a very strong margin. Those kinds of numbers.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: Yes. And so is it fair to say that going forward, as we see the prices tighten up, the discount will shrink, but there will be some amount of discount or is it just a function of difference in quality or it's a function of oversupply?
Robert F. Pusateri: Without a doubt, Mitesh, as the demand increases, the discount certainly will shrink. We saw that in the first half of 2011. We saw weaker prices the second half. We think just the reverse is going to happen in 2012, where the prices were weak in the first half and they were strengthened in the second half. So we're hoping, as I said, spot prices in May alone are up $8 to $10 from the settlement of 206, and we're going to continue to take advantage of that. The -- both eastern railroads have come to the table. They've offered discounts to get both thermal and metallurgical coal to move in the second quarter, and we are hopeful that we'll see those same types of discounts in the third and fourth quarter as well.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: Okay, great. And just one question on the CapEx side. When you look at your total cash flow for the year based on what you're guiding us in terms of contracting, how should we think about CapEx? Is there a likelihood that there could be some amount of additional capital spending within -- about the cash flow generated?
J. Brett Harvey: Well, we're always looking at our capital. Philosophically, we try to stay within our cash flow, unless we see some very, very high-value opportunities. But right now we're trying to stay within the cash flow, keep our balance sheet strong. And as we look at our cash flows quarter-to-quarter, you'll see our CapEx adjust, and we always adjust to the highest rate of return projects. So I think that's an evolving thing, you're going to continue to see us do that. And right now, as Nick said in his piece, he's looking at capital all the time, coal versus gas, and you'll see that evolve. And if the markets get tight, we'll tighten it up. If they start to expand, we'll develop these assets to meet the new market.
Operator: Our next question is from Lucas Pipes with Brean Murray, Carret.
Lucas Pipes - Brean Murray, Carret & Co., LLC, Research Division: Just a quick follow-up question on the met coal contracts for Buchanan. When you reported the fourth quarter results, you had roughly 1.9 million tons contracted for 2012 at $180, $187 roughly. I think now we stand at 2.2 million tons at roughly $174. So it's just about a 300,000-ton increase in contracted volumes. The contracted price declined pretty significantly, but I think you mentioned earlier that what wasn't shipped in the first quarter should, that value, we should see in the remainder of the year. So maybe if you could walk us through the different drivers there, I would really appreciate it.
Robert F. Pusateri: Lucas, there's primarily one driver. There was an out-of-period adjustment that -- for a roughly 300,000 tons that was -- I believe it was a quality adjustment that actually drove the price down. And you're seeing the effect of that quality adjustment in the numbers. You did it on an implied pricing basis and that's the problem. There's some in-and-outs. It's not an actual sale that actually drove that price down.
Lucas Pipes - Brean Murray, Carret & Co., LLC, Research Division: Okay, great. As a quick follow-up, to stay on Buchanan, and when you kind of -- now that you are going to restart Buchanan next week, when you take a step back and kind of just try to assess kind of the situation and the impact it had on the market, would you say it was a successful move altogether?
J. Brett Harvey: Yes, I would say it is. We weren't trying to leave money on the table, we were trying to hold value for our shareholders. And by stopping the longwall and keeping the mine on hot idle, so to speak, we sent a signal to the -- that there are certain prices at which we want to get for this high-value product and we'll bring it out of the ground when we see the rising markets. If you push into a illiquid marketplace a very high-value product and you build the inventory on the ground, on your ledger, of that inventory, all you do is extend the problem. And so we decided to protect value for our shareholders, and I think that was very successful.
Lucas Pipes - Brean Murray, Carret & Co., LLC, Research Division: And really quickly, what do you think are the implications for the cost for the remainder of the year now that you had 20 days ahead, essentially, with the continuous miners?
J. Brett Harvey: I think it'll go right back to our -- what we said we'd do cost-wise for the mine for the year. And the other thing I think is interesting, if you look at the cost structure from the first quarter, with that mine idle, and the time it was idle, our cost structure is still lower than the marginal cost for our competition in the United States. So with the longwall not running, you can see how effective and low-cost we are with this longwall mine. So you'll see our cost structure drop, and I think we're in good shape there.
William J. Lyons: Luke, this is Bill Lyons. As Brett said, idling the longwall Buchanan had a very significant impact on the cost. And if you look at our release, I think our cost at Buchanan was about $92 a ton. If we -- the impact of that longwall was like $17 a ton for the quarter, so we'd be down somewhere around $76 a ton without the longwall idling. And as we increase our volumes, I think you could see that those costs will be either remain the same or go down.
Operator: Our next question is from David Lipschitz with CLSA.
David Lipschitz - Credit Agricole Securities (USA) Inc., Research Division: Bill, can you -- 2 questions. One of your competitors to the south, basically, has been saying that they're getting benchmarks. So why do they get benchmarks and you don't?
William J. Lyons: I think I know what you're talking about, David, and that was for a mid-vol coal that came from Canada. It was not -- they're Alabama coal.
David Lipschitz - Credit Agricole Securities (USA) Inc., Research Division: Okay. And my second question is, just in terms of you just said that the difference in pricing -- and I'm assuming I'm reading correctly from the press release, that with the quality adjustment that you sold the stuff at $119, $120, what was wrong with the quality that you had to get such a lower price?
William J. Lyons: We created a high ash market or -- I'm sorry, we created a high ash product to sell into the Asian market. And that was the difference. We're putting 200 tons of refuse material in every 10,000-ton train.
J. Brett Harvey: So what we could do -- to help you understand this, the Buchanan prep plant can go anywhere from 5% ash to 9% ash based on how we move it, what the freight rates are and what they want on the other side, how it can be blended with their own products. And so there was an adjustment, that's what he's talking about.
David Lipschitz - Credit Agricole Securities (USA) Inc., Research Division: So in the first quarter, there was $10 inventory and what was the quality?
Robert F. Pusateri: There was -- $10 was -- yes -- was the inventory adjustment. The rest of it was -- we moved, roughly, about 116,000 tons came out of the quarter, of which 40 of that was force majeure-ed. We replaced that 116,000 with roughly 220,000 tons at lower prices that those lower prices against the $189 that was in there, David, cost about a $20 per ton change in the price for the quarter. That $20 plus the $10 inventory adjustment gives you the $30, or the difference between $189 and $157 thereabouts.
David Lipschitz - Credit Agricole Securities (USA) Inc., Research Division: So just to be clear, Bob, there was no quality adjustment that we took in the first quarter, it was simply the tons went out at a different price than the replacement tons that came back in.
Robert F. Pusateri: But the quality of some of the coal that was shipped in the quarter was high ash versus our normal low ash product. Therefore, resulting in a lower price.
David Lipschitz - Credit Agricole Securities (USA) Inc., Research Division: Got it, okay. I understand. My final -- sorry, to go through this all, but my final question is, if we're still in an oversupply situation, why are we bringing it back? Is the price just good enough now, has the prices move enough in the last 7 weeks that you're now comfortable with bringing it back online? Like, why bring it back?
J. Brett Harvey: Well, we're bringing it back because it's a low cost mine and it's a high value. We see the liquidity in the market. We see the buyers are out there. We see the price rising, and then we're selling it quarter-by-quarter. We're back in the game with a low-cost, high-value product, just as we should be, plus we're going to pick up those deferred tons, we have to mine them.
David Lipschitz - Credit Agricole Securities (USA) Inc., Research Division: And sorry to keep it going, but one more final question. In terms of -- is the discount thing going to continue because you're doing the higher ash product, or is that -- even if supply and demand gets better in the balance or -- is there always going to be a discount there or...
J. Brett Harvey: I think you're confusing the discount. That's at our option. We can put in any quality from 5% to 9% out there we want, based on the return on value of the total delivered products. So that's really our call.
Operator: Our next question is from John Bridges with JPMorgan.
John D. Bridges - JP Morgan Chase & Co, Research Division: I just want to ask a bit of a general question. I'm just wondering where these $55, $57 tons are coming from in the spot market? And how long this is going to continue? Because if it does, then it's going to put down the pressure on contracts for next year, isn't it?
Robert F. Pusateri: I think, for us, John, we have plans to continue this for the balance of the year. As we said in the release, we have 1.7 million tons of coal booked for the second quarter. We're hopeful that we can duplicate that in the second half of the year. So our export volumes are continuing to grow. They like the fact that our coals are low in ash and they're high-Btu. They travel extremely well. We've booked the vessel freights in order to allow this to happen. We have the capacity through CONSOL's terminal and others, and so we're going to -- we're really going to take advantage of this. We've broken into India for the first time in the first quarter. We've handled all of the credit issues that we stumbled over last year. We got through those. So John, we're excited about this new frontier for CONSOL and we're going to grow this business. The domestic business, I think it'll shake itself out. We're fortunate. Our domestic thermal coal is sold to scrub units. They're large units. We made that consideration a couple of years ago to target those units, and right now, it's paying for us. And, yes, there are some of them may not be running around-the-clock because of gas or because of just pure lack of demand, but all of that changes. And we're excited about it and we're going to continue to grow our business.
John D. Bridges - JP Morgan Chase & Co, Research Division: Okay. And as a follow-up, with freight costs apparently beginning to move up, I hear you've got the ships to do it. But what about other exporters who are perhaps using the export market as a safety valve, do you see an issue with the apparent pickup in freight costs?
William J. Lyons: There's no question. As bunker fuel continues to go up, you'll see export rates, shipping rates continue to rise. You'll see numbers, John, in -- probably in the area of $39 to $42, $40 a ton for a cape-size vessel. You might be able to find a spot vessel here and there, depending on where it's returning from, it's maybe lower prices. But Panamax vessels, those numbers are in the $44 to $46. We believe that we got ahead of the curve. Based on the fact that we were selling high-vol met coal into Asia, we believe that the time we saw, we probably knew what was coming, so we went out and contracted a couple dozen of these vessels for the balance of the year. So CONSOL is sitting in a really good position at this point in time. I would not want to be a producer of the size of CONSOL and has to go into the market today and try and get vessel freight at reasonable amounts when you look at 2011.
John D. Bridges - JP Morgan Chase & Co, Research Division: Is that going to close the door on some of these low-priced exports?
Robert F. Pusateri: I think it's going to make it very difficult. I really do.
Operator: And next we'll go to Brandon Blossman with Tudor, Pickering, Holt.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Just a follow-up on the thermal export story. Nice bright spot there. What's the posture of the rails right now in terms of thermal exports?
Robert F. Pusateri: I'll tell you what, Brandon, we were pleasantly surprised. Both eastern railroads came to the party. They understood as their domestic shipments started to drop off, but -- I mean, they saw back as late as December when the weather was not permitting for a build in inventory, they saw their loaded cars start to drop off. So I think the railroads have done a fine job in helping the U.S. suppliers get their coals off the coasts. I really do. I mean, we're hopeful that we'll see a similar response in the second half of the year, but right now we're satisfied with what they've done.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Good news. And that will obviously be an interesting dynamic to watch on a go-forward basis. And shifting gears, CapEx, how much flexibility, both on the coal and the gas side, do you have to ramp down in '12 versus '13? Are you kind of fixed on '12 or do you have some flexibility downward?
Nicholas J. DeIuliis: We've got flexibility, both directions. If the market tightens, we've got flexibility to bring some projects that have been deferred to delay it on. If the markets weaken further, then we've got the flexibility to make capital reductions or deferrals out of '12 into subsequent years. And as we said earlier, that's something that's front and center with our team to try to get another look. This would be the third look basically this year because things are changing that quick with 2012 to see where that new capital comes out, not just in total, but across our coal and gas projects.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: I assume those conversations include your JV partners on the gas side?
Nicholas J. DeIuliis: Yes.
J. Brett Harvey: Oh, yes.
Operator: And next we go to Brian Gamble with Simmons & Company.
Brian D. Gamble - Simmons & Company International, Research Division: Let me start on the high-vol, if we could. Bob, maybe you could talk about what sort of reception that project's getting? Obviously, the prices have come down. It seems like there have been some pretty significant renegotiations that have gone on. Maybe you could talk about what's happened so far and what you anticipate moving forward? I mean, are these prices that we're seeing now stable? Or do you think there is continued degradation in those prices into that particular market?
Robert F. Pusateri: Sure, Brian. We continue to put our high-vol coal into Asia, South and Central America. During the quarter, Brian, we were pleasantly surprised that we were still getting a lot of inquiries with respect to shipping this product. We have 2 cape-size vessels, 240,000 tons of -- those are metric tons, going into China, going to one customer alone for the balance of the year, which is really good. We finally had been able to get some term. Now we're going to negotiate the price on a quarterly basis, but we believe that we're at the bottom and that things are on the uptick and we're going to take advantage of that. They wanted us, for instance, Brian, this particular customer, wanted us to sign up for a 6-month hitch before they gave us the tons and we elected not to do that. So we agreed to a price for the second quarter and we'll continue to ratchet our price up for the third and fourth quarter. So all that is very good. We see our high-vol coal continuing to strengthen over there. We're finding more customers that are inquiring about our coal. We're sending more samples. People that are coming to the ports and asking for 55-gallon drums of this material. It's being used more and more in blends over there, the percentages are going up. And we believe that as the years go on -- and we've come a long way when we started this in the beginning of 2010, and we've come a long way, and so we're looking to perhaps put upwards of 4 million tons or more into the market this year alone.
Brian D. Gamble - Simmons & Company International, Research Division: All right. And then on the -- switching gears on the gas side. Maybe kind of a twofold question. One, it looks like some hedges were layered in for both '13 and '14 minimum volumes and I'm talking of prices, $3.45 for '13 and $3.71 for '14. Maybe you could talk about that absolute level and then what that means for your expectation for actual operating costs? They were greater in the quarter and below those rates. Should we set that to continue at that rate or perhaps decline as gas prices stay low?
Robert F. Pusateri: Yes, first, Brian, I'll say this. We have in place a hedge program that allows us to look out for '13, '14 and '15. And we set ourselves a floor internally and when the gas market goes above that, that floor, we go into the market and we take a hedge. And so it's programmed. We try to do that on a monthly basis as we continue to look at the price and we've been successful with it. We've seen -- we started in 2011. 2012 was our first year as a program hedge and we've seen that it is a -- that has really helped us.
Nicholas J. DeIuliis: On the cost side, the general view on the gas segment is that there's going to be 2 sources of cost savings or further cost synergies. One will be just the outright rate from the service providers and on the consumables. We think that exists for more potential on the gas segment than the coal segment right now. But we think that the really big opportunity to further get a handle on cost and driving continually downward on the gas segment is what I'll call the continuous improvement, our efforts that we're seeing across our operations, most of that coming out of the Marcellus because that's where most of our drilling occurs. And some examples of things that we're doing there, we're doing everything from converting our rig fleet from just straight-up diesel to diesel/natural gas/coal firing. There's obviously some big cost advantages to that. The way we're building curves with some of our auto tracking tools is giving us longer laterals effectively. You look at things like microseismic and reservoir studies and individual well reserves, we're getting a big leg up on that to get more EUR per foot out of the wells that we're drilling. And then we're also moving what I would -- I'll just call it, for lack of a better term, from well-specific stimulation designs to stage-specific, frac-stage specific. And not just looking at the well in total, but looking at what that individual stage might be calling for in terms of the design and the execution of that completion. So still upbeat about getting aggressive on cost control, but it's going to be driven by the Marcellus, because that's where the bulk of our drilling's occurring. And the prior guidance we gave on unit cost for Marcellus all-in, I don't think that's changed at all, and stay tuned to see if we can do better.
Brian D. Gamble - Simmons & Company International, Research Division: Yes, and then finally just a clarification, the -- Bob, the 5 million tons that you walked through earlier from the deferral basis, 2 million is pushed out, the 1.4 million in force majeure situation, and then the 1.1 million in contract. What portion of that -- how do you bucket that out when you look at the guidance for the year? The 2 million, I'm assuming, has already been pulled out of there. The 1.4 million and 1.1 million, maybe you could talk about what's the ending tonnage for this year? Where those tons are from a guidance standpoint?
Robert F. Pusateri: For the most part, the tons that have been pushed out to 2013 and 2014, most of that, Brian, has already been reflected in our numbers. We still have ongoing negotiations and we haven't papered it all in order to catch up toward -- in our system. So I would say, of the 2 million moved to '13 and '14, the majority of that is already reflected in our firm position for those years. The shipments that I said that I think you'd -- some of our customers will catch up on, the 500,000 tons or so, that's already in the numbers. It's the force majeure tons, we're still taking exception to some of those force majeure letters, and right now those values are nowhere. We've just removed them from our forecast, waiting to see the results of our dispute with them with respect to whether or not they have legitimate force majeures.
Operator: And that'll be from Dave Katz with JPMorgan.
David Katz - JP Morgan Chase & Co, Research Division: I was just curious, with the thermal cost guidance -- thermal coal guidance for 2Q '12, the lower end of the range was below the firm number. Does that reflect the deferrals you were talking about?
Robert F. Pusateri: Yes, Dave, it does.
David Katz - JP Morgan Chase & Co, Research Division: Okay. And then secondly, it looks like you didn't provide 2013 natural gas guidance, and that you had provided that in the past. Is there any particular reason for that?
Robert F. Pusateri: Dave, are you talking about production guidance or...
David Katz - JP Morgan Chase & Co, Research Division: Yes, yes, I am. Production.
Robert F. Pusateri: We have in our Gas division guidance table that we issued for our ops release 2 weeks ago, we had 190 to 210, which was a reaffirmation of earlier guidance.
David Katz - JP Morgan Chase & Co, Research Division: Okay. That's not in the release today, next to the $157 to $159, so one shouldn't read anything into that?
Robert F. Pusateri: I wouldn't read anything into that. All right, John, we're finished with this part of the call. Could you please instruct our callers on the replay information?
Operator: Certainly. And ladies and gentlemen, this conference is available for replay. It starts today at 12:30 p.m. Eastern. It will last until May 10 at midnight. You may access the replay at any time by dialing (800) 475-6701 or (320) 365-3844. The access code is 243953. And Mr. Zajdel, any closing comments?
Dan Zajdel: No, I just want to say that David Khani and I will be around for the rest of the afternoon to answer any further questions. And thank you, everyone, for attending the call.
Operator: Ladies and gentlemen, that does conclude your conference. Thank you for your participation. You may now disconnect.